Operator: Good day, everyone, and welcome to the Coca-Cola Enterprises First Quarter 2011 Earnings Conference Call. At the request of Coca-Cola Enterprises, this conference is being recorded for instant replay purposes. At this time, I would like to turn the conference over to Mr. Thor Erickson, Vice President of Investor Relations. Please go ahead, sir.
Thor Erickson: Thank you, and good morning, everybody. We appreciate you joining us this morning to discuss our first quarter 2011 results and our outlook for 2011. Before we begin, I would like to remind you all of our cautionary statements. This call will contain forward-looking management comments and other statements reflecting our outlook for future periods. These comments should be considered in conjunction with the cautionary language contained in this morning’s earnings release as well as the detailed cautionary statements found in our most recent Annual Report on Form 10-K and subsequent SEC filings, a copy of which information is available on our website at www.cokecce.com. This morning’s prepared remarks will be made by John Brock, our CEO; and Bill Douglas, our CFO. Hubert Patricot, President of our European Group, is also with us on the call this morning. Following the prepared remarks, we will open up the call for your questions. In order to give as many people as possible the opportunity to ask questions, please limit yourself to one question, and we will take follow-up questions as time permits. Now I will turn the call over to Mr. John Brock.
John Brock: Thank you, Thor, and we welcome each of you as we discuss our performance in the first quarter of 2011 and then review our outlook for the remainder of this year. As you saw in our news release this morning, we achieved positive financial results in the quarter with excellent revenue and volume growth. While the first quarter is our smallest, we believe this demonstrates solid progress in reaching our operating and financial goals for the year, goals that will meet or exceed our long-term operating and financial targets. In the first quarter we achieved comparable earnings per share of $0.33, including a slight currency benefit. Revenue increased 7% over pro forma 2010 results to $1.84 billion. Comparable operating income totaled $173 million, up 7.5% versus 2010 pro forma results on a comparable basis. Given these results and our expectations for continued growth for the remainder of the year, we now expect earnings per diluted common share in a range of $2.10 to $2.15. This range includes a full-year currency benefit of about $0.15 at recent rates and is consistent with our prior currency-neutral guidance. Bill will provide more details on this in a moment. Now let’s look at some of the details of our first quarter operating results. We achieved balanced margins with net pricing per case growth of 1.5% and a cost of sales per case increase of 1.5%. As we have often stated, we remain committed to maintaining or expanding our margins over the long-term, although quarterly variations are possible. A volume increase of 5% reflects a balance of growth between our sparkling and still brand portfolios. Sparkling brands grew about 4%, driven by a 3% increase in Coca-Cola trademark brands. Coca-Cola Zero grew 25% in the quarter with 6.5% growth in sparkling flavors through strong results from Fanta, Sprite and Dr. Pepper. We also achieved outstanding results in energy drinks, which were up about 35%. Still brands grew approximately 15% as we continued to refine and expand distribution of both Capri Sun and Ocean Spray and continued to grow our sports drink and water portfolios. Although it is still early, these volume results create an encouraging start to the year, and we continue to believe that we have the right brand plans in place to meet our operating and financial goals. Our programs are built around the 125th anniversary of brand Coca-Cola, summer music promotions, Coke with food, the expansion of the contour bottle in France and initiatives that build on our role in the 2012 London Olympics. The Olympics continue to generate increasing levels of customer, media and consumer interest with less than 500 days until the start of the games. We have been able to use this event to expand our relationships with customers and to initiate three -year joint business plans. We are working closely with all key entities, including the Coca-Cola Company, local government and Olympic committees to ensure that we make these Olympics an outstanding event for our customers and consumers as we maximize the benefit of the games for our company and our share owners. Now, let me discuss one additional key factor in our ability to meet our financial goals this year and beyond. And that is improving service to our customers even as we control cost. CCE’s ongoing success depends on our ability to continually improved service through our customers and, in turn, to provide outstanding marketplace execution. We continue to develop new ways to execute at the highest levels and provide enhanced service. For example, our local segmented outlet execution is tailored store-by-store to match products and displays to customer and consumer needs. We also have the flexibility to adapt routes to market to optimize distribution for both our customers and us. Our logistics team is an excellent example of this flexibility. Working with select customers, we have reduced lead times substantially on many customer orders, enabling them to lower inventory levels and, in turn, improve their working capital. We introduced these improvements with leading supermarket chains and have begun introducing this new process to other customers. We constantly strive for this type of improvement and remain dedicated to providing the highest levels of service possible and maximizing customer relationships. This type of planning, effort and dedication represents the CCE way, and it’s encouraging to see continuing progress towards this goal. As we’ve often discussed, the benefits of our work to build our brands and strengthen relationships with our customers is all centered on one ultimate goal, creating enhanced value for our share owners through consistent value building growth. We’re making continued progress toward that goal through a combination of our results, our ongoing $1 billion share repurchase program and increased dividends. During the first quarter we completed the purchase of an additional $200 million of our shares. This brings the value of shares purchased under this program to $400 million, and we are on track to repurchase the remaining $600 million in shares by the end of this year or, at the latest, in the first quarter of 2012. In addition, as you saw in our news release earlier this week, our Board of Directors has accelerated a planned increase in our dividend. The dividend will rise to $0.13 from $0.12 beginning in the second quarter rather than the third quarter, as previously planned. Another way we are serving our share owners is our plan to obtain a secondary listing on the Euronext Stock Exchange in Paris. This step, which we announced in the first quarter, will complement our primary listing on the New York Stock Exchange and increase awareness about CCE among European investors and key stakeholders. We are very pleased with the initial reaction to this move, and we plan to begin trading in Paris before the end of the second quarter, pending regulatory approvals. We also continue to integrate corporate responsibility and sustainability, or CRS, into everything we do. As we strive to be the CRS leader in the beverage industry. CRS is a pillar of our operating framework and is embedded in every function of our business. Not only do our customers, consumers and communities expect this of us, but it makes good business sense. This summer we will launch plant bottle packages in most of our territories. Plant bottle is made from at least 30% plant-based materials, including sugarcane and molasses, which is turned into a key component for PET bottles. The plant bottle packages can also be processed through existing recycling infrastructure. In closing, let me share some key thoughts. First, we’re building on a consistent track record of solid growth in Europe and have confidence in our ability to deliver another year of excellent results. Second, we have challenging, but achievable objectives for 2011 that meet or exceed our long-term goals. We realize that doing this consistently is essential in creating long-term gains and share owner value. Third, we have outstanding brands, an expanding portfolio and impressive brand and marketing plans that will enable us to seize growth opportunities ahead. These plans are created in conjunction with the Coca-Cola Company, which shares our commitment to our customers, to our brands and to refreshing consumers every day. Finally, we have a talented, skilled team that understands how to win in the marketplace. They are dedicated and are a tremendous asset for our company. This team is a vital element in reaching our most important goal, driving increasing levels of shareowner value. Thank you for your continued interest in our Company and your participation today. Now, I will turn it over to Bill.
Bill Douglas: Thanks, John. I’d just like to say we appreciate everyone joining us this morning; we realize it’s a busy day for many of you. We are pleased to discuss our first quarter results, which represent a solid start to the year. On a reported basis our first quarter diluted earnings per common share were $0.31, and on a comparable basis earnings per share were $0.33. Revenue was $1.84 billion, up 7%. Comparable operating income was $173 million, up 7.5%. Currency translation contributed just under 2% to both revenue and operating income growth for the quarter. Net revenue per case increased 1.5% while cost of sales per case also increased 1.5%. Both of these per case numbers are comparable and currency neutral. I would like to note that we recorded restructuring charges totaling $14 million during the first quarter to streamline our plant operations and cooler services business. These are initiatives that were well underway in legacy CCE. This quarter’s charge represents a significant majority of the expected full year 2011 one-time expenses for these initiatives, and we do expect to be substantially complete with these restructuring activities by the end of this year. Now, during the first quarter we also continued to move forward with our share repurchase program, as John mentioned, completing purchases of $200 million. We will continue this program in keeping with our goal of a total repurchase of $1 billion by the end of this year or, at the latest, in the first quarter of 2012. We now have purchased a total of $400 million under this program. We have also demonstrated our commitment to increasing returns to share owners by accelerating our planned increase in our dividend from the third to the second quarter. This will result in a 2011 payout of $0.51 per share. Turning to our guidance for 2011, we reaffirmed our underlying currency neutral guidance in our release this morning. This guidance includes results at or above our long-term financial objectives. We continue to expect comparable and currency neutral revenue growth in a mid single-digit range and operating income growth in a mid to high-single-digit range. Diluted earnings per common share are expected in a range of $2.10 to $2.15 and now include a positive currency impact of approximately $0.15 at recent rates. These earnings reflect solid operating growth and the benefit of a reduction in shares outstanding. Essential to this outlook is our ability to maintain our margin structure. We continue to expect full year 2011 cost of sales per case to increase approximately 3%. We are now hedged on approximately 85% of our input commodity cost. Cost pressures and volatility have continued on commodities that essentially cannot be hedged, and for us this is primarily PET. We continue to benefit from the diversity of our cost of goods and our overall approach to procurement. We do have our 2011 pricing increases in place and believe we are in a good position to maintain our margin structure for the full year. However, there could be some quarterly variations. Over the long-term, we remain committed to maintain or expand both gross and operating margins, and we have a strong track record of achieving this in our European operations. Benefiting in part from recent currency rates, we now expect free cash flow will total approximately 475 to $500 million for the year. Capital expenditures are expected to be approximately $400 million. For the full year, weighted average cost of debt will be approximately 3%, including debt issuances, capital leases as well as the impact of currency swaps. The effective tax rate continues to be expected in a range of 26% to 28%. Now let me take just a moment to explain a change in our segment reporting that impacted our corporate expense line. Historically, our support functions such as finance and HR had two expense components, those that were reported in the operating business and those that were reported centrally at corporate. The exception to this was information technology. All IT expenses were previously reported as corporate, regardless of where the expenses were incurred. Beginning in 2011, we will reflect a segment measurement change and report expenses incurred in Europe including IT expenses in the European segment of the business. The net impact is a shift of approximately $12 million in the first quarter from corporate to Europe. Details of this are in the release and will be in our 10-Q and an 8-K that we will file. Please note that this has no impact on the overall bottom line. So, in summary, we are encouraged by our first quarter results. Even though this is our smallest quarter, the positive trends we have seen will reinforce our confidence in our full-year outlook. Success in the summer selling season remains essential, but we are optimistic about the opportunities and plans we have in place. So thanks again for joining us. And now John, Hubert and I will be happy to open the floor up for questions.
Operator: (Operator Instructions) And we’ll first here from Judy Hong of Goldman Sachs.
Judy Hong – Goldman Sachs: Thanks. Good morning.
John Brock: Good morning.
Judy Hong – Goldman Sachs: First, just in terms of your volume growth in the quarter, the 5% looks pretty encouraging here. I know that you had some easy comps a year ago when the weather was pretty weak. So maybe if you can talk a little bit about the 5% growth obviously, some of that also benefiting from the Capri Sun and others. But how does the growth trend throughout the quarter? As you got into more normalized weather patterns, did the strength of volume continue? And then maybe if you can give us some color as to the competitive dynamics because it sounds like maybe on the volume side you did lose a little bit of market share, so just in terms of the competitive environment in the UK.
John Brock: Yeah, let me just say we were very pleased with the 5% volume growth in the first quarter and we are also pleased that the positive trends are continuing here in the second quarter. Let me ask Hubert to give a little bit of color commentary on that 5% and also on the competitive situation and how we see it.
Hubert Patricot: Yeah. Thank you, John. Hello, Judy, this first quarter was a good combination and the balanced growth between all the BUs and all our brands in our portfolio. And we are pleased to report that despite the difficult economic environment, consumers continue to favor our category and we are outperforming the market both in volume and in value. Our growth was driven mostly by our core business, My Coke. I will highlight Coke Zero, which was up 25% and up in all our BUs including GB, with a strong growth of 25% also in GB. This is driven by a strong discipline in in-store execution and multiple weeks of displays and increased distribution in away from home channel and increased media support to Coke Zero, too. You mentioned it. We had also a good benefit from the expansion and the traction we are getting with Ocean Spray and Capri Sun in the still and in juice drink category. So again, quite a good balance of growth plus, at the same time, we have put our pricing in place in the market. Talking about GB, we had a very solid Q1 in GB, up 6.5% growth. And we have outpaced the market both in volume and in value, the NARTD and the stocking markets. So it’s a good performance this quarter.
Judy Hong – Goldman Sachs: Great, okay. Bill, just following up on the free cash flow guidance, it looks like its 50 million to 75 million higher than your prior guidance. I think currencies may be a 25 to 30 million extra. So I’m wondering, is there other driver in terms of just the free cash flow guidance coming up, other than currency?
Bill Douglas: We tightened everything up, Judy. But I would say from our internal calculations currency was closer to two-thirds of that change.
Judy Hong – Goldman Sachs: Okay. All right. Thank you.
Bill Douglas: Thank you.
Operator: Next we hear from Christine Farkas of Bank of America/Merrill Lynch.
Christine Farkas – Bank of America/Merrill Lynch: Thank you very much. Good morning. I wanted to dive a little bit into the revenue per case and the COGS per case you saw in the quarter. Both appeared a little bit light to me based on your COGS guidance for the year, and also the inflation we are seeing in Europe, particularly GB. So I’m just – I just want to understand – the pricing or the revenue per case was that – were those conscious decisions based on where you were in your COGS per case? Is it more a promotional environment, or does product mix have something to do with that?
John Brock: Let me ask Hubert to talk about the about the revenue situation, and then Bill will comment on COGS situation.
Hubert Patricot: Christine, on the revenue we have put our pricing in place this quarter with some timing variation per country. But net-net, it’s in line with our plans and we will see the full benefit of this price increase coming in Q2. And we remain committed to our full-year vision, which is to protect and maintain our margins.
Christine Farkas – Bank of America/Merrill Lynch: Okay. That’s helpful. Thank you.
Bill Douglas: Christine, Bill here, if you look at the COGS, again quarterly variations there. I think the biggest single quarterly variation you are going to see, Q1 versus Q2 and the full year, is PET. We had some stocks and some pre-buying going into the beginning of the year at lower rates that were the primary benefactor in that lower Q1 rate versus our full-year guidance.
Christine Farkas – Bank of America/Merrill Lynch: So we should see some acceleration in both of those figures going forward?
Bill Douglas: Absolutely.
Christine Farkas – Bank of America/Merrill Lynch: Okay, and just to follow up, can you just remind us when we cycle or when the Capri Sun, Ocean Spray and Monster volumes first entered your system? I realize that there is expanded availability going on, but just with respect to initial introduction, when do we cycle those?
Hubert Patricot: Well, it was basically introduced in the first quarter. I think we will have the full cycling in place by the quarter two, but it’s fair to say that even in countries where Capri Sun, for example, was already present, like France, we continue to see a strong growth of this brand. So we are quite positive. But you are right; we have now finished the cycling of the introduction in quarter one, yes.
John Brock: The other point to make there, of course, is Capri Sun has been in the largest market, in Great Britain, for a number of years. So it’s a brand there that’s well established, but it continues to grow even there. So it’s a very strong brand, and we remain committed to it.
Christine Farkas – Bank of America/Merrill Lynch: Thanks for that. And finally, Bill, can you highlight for us – and you alluded to some differences in corporate expenses, but do you have the corporate expense figure for the quarter?
Bill Douglas: Yes, I believe it’s in the release.
Christine Farkas – Bank of America/Merrill Lynch: I’m looking at that. Yes.
Bill Douglas: So if you will just reference the release – I will say if you look at our reference point to last year, we had talked about full-year corporate expenses of 191. If you back out the change that we made of 45 million, the full-year reference point would be 146. And then the corporate expenses for the quarter are 41.
Christine Farkas – Bank of America/Merrill Lynch: Great, thanks for that. I must have missed it, thank you.
Bill Douglas: No problem.
Operator: Next we’ll hear from Steve Powers of Sanford Bernstein.
Steve Powers – Sanford Bernstein: Great. Hi. I was hoping we could just start maybe decompose the 4.5% growth in continental Europe. We have it kind of by geography. Is it fair to say that that was relative strength in France, offset by maybe slightly slower growth elsewhere?
John Brock: Hubert, do you want to give a little more color commentary on the kind of business results we had in continental Europe?
Hubert Patricot: Yes. As we shared already with you, we clearly see the highest growth potential in our BUs in France, linked on the relatively low per capita. So yes, France was outperforming the rest of the countries. But we are seeing also some growth in the Benelux, in Sweden. So overall it was a good volume growth. And the dynamic I described behind My Coke, behind Coke Zero, is relevant for all our BUs. But you are right; GB and France were clearly leading the pack this quarter.
Steve Powers – Sanford Bernstein: Okay, and then on pricing, as you think about that sequential increases in the kind of price realized per case, should we think about that as likely relatively evenly split across your geographies? Or is there going to be more pricing in certain markets versus others?
Hubert Patricot: Our commitment to maintain our margin will apply to all the geographies. So there will be slight variation but not major variations at our BUs. So it’s a relatively even level between all the BUs.
Steve Powers – Sanford Bernstein: Okay. And I guess, last, just kind of a philosophical question, you got kind of this I guess maybe unanticipated FX benefit this year, at least relative to where we were a quarter or two ago. How do you think about dropping that benefit to the bottom line versus using it to fund incremental investments and drive further growth in your European markets?
John Brock: Let me ask Bill to tackle that one.
Bill Douglas: Steve, we have always tried to manage our business on a currency-neutral basis, and I think that’s even more relevant with our current structure of having exclusively European revenue flows and being listed in the U.S. in dollars. So I think you should expect the absolute vast majority of the currency benefit to flow to the bottom line, and we are managing our business in local currency.
John Brock: Yes, and that will continue to be the case. I’m sorry? Go ahead. All right, thanks, Steve.
Steve Powers – Sanford Bernstein: Thanks.
Operator: Next we’ll hear from Mark Swartzberg of Stifel Nicolaus.
Mark Swartzberg – Stifel Nicolaus: Hey, good morning guys. A few questions about the current quarter, if I could. Bill, anything unusual in terms of rate of growth you expect in the second quarter versus the full-year outlook, currency neutral?
Bill Douglas: No. Clearly it’s a much bigger quarter, and typically Q2 was our largest quarter. But we have the movement of Easter. I would say June last year was the full impact of the World Cup promotion. But if you balance everything out, I don’t really think there’s anything that I would highlight of the significant nature at this juncture, Mark.
Mark Swartzberg – Stifel Nicolaus: Okay, great. And then on the World Cup, have you quantified or could you try to quantify how impactful it was to volumes in the second quarter last year?
John Brock: I think the better way to describe that one, Mark, is to say that we work hand-in-hand with the Coca-Cola Company to make sure that we have the proper mix of activities and plans and programs in the market. Yes, World Cup was a big deal last year. But I’d say yes, the 125th holiday/birthday celebration this year is going to be equally as big. And then, of course, we’ve got the Olympics next year. So I think the best way to think about all of those is simply we and Coca-Cola working together are committed to have mega-programs that really allow us to activate customer and consumer promotions around them. So we are in a great position this year to lap World Cup activity from last year. We will do it with the 125th birthday, as well as with a whole host of other things which we mentioned, Coke with food, for example.
Mark Swartzberg – Stifel Nicolaus: Great. And then finally, you mentioned that April is continuing a good trend. Are we talking mid-single-digit growth volume wise? What kind of performance did you see in April?
John Brock: I think the better way to describe that is simply the kind of positive trends we saw in the first quarter are continuing very nicely in the second quarter, and we are guardedly optimistic that that’s going to continue for the balance of the quarter and the year.
Mark Swartzberg – Stifel Nicolaus: Great, thank you guys.
Operator: Brett Cooper, Consumer Edge Research.
Brett Cooper – Consumer Edge Research: I just want to drill into pricing on CSDs in GB. So you have obviously talked about taking pricing incrementally here. But can you just talk about what you are seeing from your branded competition as well as private-label there?
John Brock: Let me ask Hubert to talk a little bit about the competitive dynamics in GB.
Hubert Patricot: Well, what we see in GB first is that consumer activity to the category remains. The category is growing both in volume and value. And though we saw some planned and seasonal promotional activities in the market from competitors, we continue to see a rather rational pricing environment moving forward. And as John said, Easter was last week. We had a good momentum, and we are seeing that momentum as we’re now nearing the close of the month.
Brett Cooper – Consumer Edge Research: Thank you.
Operator: Carlos Laboy, Credit Suisse.
Carlos Laboy – Credit Suisse: Good morning everyone.
John Brock: Good morning.
Carlos Laboy – Credit Suisse: John, you spoke of brands, but is there any notable insight you can share with us on channel mix evolution, performance and whether this volume increase was broad-based across all channels?
John Brock: Let me ask Hubert to address that one.
Hubert Patricot: Carlos, it was mainly driven by what we call multiple retail or large return or grocery. But the good news is that in multiple market we see a resurgence of what we call the away-from-home market, the cold drink, the retail market. So it seems that, despite the crisis, the traffic in this kind of outlet, the cafes, the restaurants is slightly better than it was last year. So the bulk of the growth is clearly coming from large retail. There is an arbitrage from away-from-home to at-home consumption.
John Brock: And the other point I would note and, Carlos, I’m sure you know this. But our model in Europe is such that the profitability difference between the channels is really modest, which is not the case, of course, in some markets around the world. So one of the things that we are particularly excited about with that model in Europe is that, as we see differences between channels in volume, the differences in profitability is very minor.
Carlos Laboy – Credit Suisse: Any comment you can make on the competitive situation, where your Pepsi competitor seems to be facing some COGS issues?
John Brock: Well simply that, as Hubert just said, we see reasonably rational pricing situation in Great Britain. And that’s, we think, good news. And you have heard what our situation is in terms of cost of goods. And so, as is always the case, we look for the opportunities to drive profitable volume in various product categories and in various channels. And you could assume that we will look at that pretty diligently as we continue to go forward, particularly in GB.
Operator: Caroline Levy, CLSA Equity Brokerage.
Michael Avery – CLSA Equity Brokerage: Hi, this is Michael Avery on behalf of Caroline. How are you doing?
John Brock: We are doing great Michael.
Michael Avery – CLSA Equity Brokerage: I just wanted to get a sense if 400 million is the right long-term run rate for CapEx, or how much does currency influence that as well?
John Brock: Bill?
Bill Douglas: Well, Michael, we give very specific guidance that we expect to reinvest about 5% of our net revenues into CapEx. So that is the target that I would encourage you to use for any forward modeling projections. And clearly, currency is going to play a part in that as well. I think we started the year with 400 million guidance for CapEx and I think it’s fair to assume the fact that we kept it at 400 million is the fact that we tweaked our underlying spend ever so slightly to offset the currency impact that we now foresee.
Michael Avery – CLSA Equity Brokerage: Okay, that’s helpful. And on corporate, assuming I have all the adjustments right, it looks like it was up a decent amount in the quarter. Is it lumpy this year, or is that indicating that the whole year would be higher?
Bill Douglas: I think your phraseology is absolutely spot on. The first quarter is the smallest quarter. There were some things that moved around a little bit, so I would say lumpy; that’s a fair presentation. I think, if you look at the full year, that benchmark that I referred to earlier of 146 million, restated, is a good benchmark and we would expect a modest increase off of that number. But that’s been our overall growth in operating income; we would expect to get a little bit of leverage there.
Michael Avery – CLSA Equity Brokerage: Okay, that’s great. Thanks. And then just in the U.K., we’ve seen some articles about retailers being under a lot of pressure there. And obviously, they’ve got some austerity issues that seem to be weighing on the consumer a little bit. But you guys are putting up, obviously, great numbers. How do you make sense of that? Is there a good way to see that continuing, even if the economy stays pressured there?
John Brock: Hubert, why don’t you comment on that.
Hubert Patricot: Well, the economy have been facing some difficulties for, as you know, more than two years now. And as I said, what is striking is that the arbitrage of the consumer is in favor of our category, which is not high-priced, pretty affordable. But of course, we are putting also some efforts behind, and fair to say that our brand portfolio as well as the high/low promotional activities is delivering on those premises. It’s combining both future consumption, immediate consumption with the placement on coolers and again, the growth is driven mostly by the large players in the market, which captured most of the traffic of the consumer. So net, net we continue to remain confident, while we enter in quarter two in GB.
John Brock: Yes. I totally agree with what Hubert said, and just to add to that, I mean, I think our team in all of our markets just does an incredible job in conveying to retailers just how important our category is and how much value we can create for them. We’ve done that successfully for the past five years through some very up-and-down kind of economic situations. And so from a customer standpoint, we really spent a lot of time making sure they understand the value of the category and they get it. And then from a consumer’s standpoint, we and the Coca-Cola company work together to make sure consumers understand the value of enjoying moments of pleasure and they get it. And I think you put those two together, and it’s a model that weathers economic challenges pretty well.
Hubert Patricot: And moving forward, just one point, of course, we are now 456 days before the Olympics. And we are going to start to activate this incredible event already in quarter two and quarter three in GB. So that will, again, build on our growth story with the trade and the consumer in GB.
Michael Avery – CLSA Equity Brokerage: Great, that’s helpful.
John Brock: Operator, I think we will take one more question.
Operator: Okay. Our final question will come from John Faucher of JPMorgan.
John Faucher – JPMorgan: Thanks, guys. Following up on the pricing please, I think a lot of us are used to looking at the U.S. market, where the pricing, structurally there was a need for pricing. Can you talk to us a little bit more sort of philosophically about the margin structures within Europe, in terms of where you think they are versus where they should be longer-term from a profitability standpoint? And similar to what we saw in the U.S. over the past couple of years, where there was a need to change the underlying margin structure of the large-format store business? Thanks.
John Brock: Yes, let me, I’ll give a broad answer, and then Hubert might want to comment a little bit more. But I think you have heard us say this before, John. Our view is we’ve got a very solid margin structure already with our business in Europe. And you’ve also heard us say we are committed to maintaining margins off what is admittedly a nice position already or expanding them when the case presents itself and we can do so. But our business model in Europe is really one that’s based on growth, first and foremost. And obviously, that’s what we are planning to achieve. So it’s not a low-growth, grow margins kind of strategy. It’s grown the business and maintain and occasionally expand margins. And as I said earlier, all channels in Europe, which is so important, are profitable. So we, again, can play that game in a very different fashion than is the case in some markets around the world.
John Faucher – JPMorgan: Okay, thanks.
John Brock: Okay. Thanks, everyone, for joining us today. We appreciate your taking the time to tune in. And we wish you all a great day. Enjoy the royal wedding tomorrow.
Operator: That does conclude today’s conference. Thank you all for your participation.